Executives: Jennifer Driscoll - Vice President of Investor Relations Denise M. Morrison - Chief Executive Officer, President and Director B. Craig Owens - Chief Administrative Officer, Chief Financial Officer and Senior Vice President Anthony P. DiSilvestro - Senior Vice President of Finance
Analysts: Andrew Lazar - Barclays Capital, Research Division Edward Aaron - RBC Capital Markets, LLC, Research Division Jason English - Goldman Sachs Group Inc., Research Division David Driscoll - Citigroup Inc, Research Division Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division Matthew C. Grainger - Morgan Stanley, Research Division David Palmer - UBS Investment Bank, Research Division Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division Eric R. Katzman - Deutsche Bank AG, Research Division Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division Bryan D. Spillane - BofA Merrill Lynch, Research Division Kenneth Goldman - JP Morgan Chase & Co, Research Division Thilo Wrede - Jefferies & Company, Inc., Research Division Robert Moskow - Crédit Suisse AG, Research Division Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division
Operator: Good day, ladies and gentlemen, and welcome to the Campbell Soup First Quarter Earnings Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. I would now like to turn the conference over to your host, Jennifer Driscoll, Vice President, Investor Relations. Please begin.
Jennifer Driscoll: Thank you. Good morning, everyone. Welcome to the first quarter earnings call and webcast for Campbell Soup Company. With me here in New Jersey today are Denise Morrison, President and CEO; Craig Owens, Senior Vice President, CFO and Chief Administrative Officer; and Anthony DiSilvestro, Senior Vice President of Finance; as well as Stephanie Varnum, Senior Manager in Investor Relations. Denise will kick us off today with a strategic update, a few thoughts on Hurricane Sandy, the highlights of our results for the first quarter and a few comments on the year. Then Craig will offer his take on the quarter, including our segment results and then our guidance. After we take your questions, Denise will make a few closing remarks. As usual, we've created slides to accompany our earnings presentation. You'll find the slides posted on our website this morning at investor.campbellsoupcompany.com. Please keep in mind that this call is open to members of the media who are participating in listen-only mode. As a reminder, our presentation today includes forward-looking statements, which reflect the company's current expectations about future plans and performance. These forward-looking statements rely on a number of assumptions and estimates which could be inaccurate and are subject to inherent risks. Please refer to Slide 3 in the presentation or to the company's most recent Form 10-K and subsequent SEC filings for a list of the factors that could cause our actual results to vary materially from those anticipated in any forward-looking statements that we might make. As you know, Campbell completed the acquisition of Bolthouse Farms on August 6, 1 week into the quarter. The acquisition is now included in our results, and it drove most of the year-over-year changes in the first quarter. The quarter also includes $10 million in transaction costs related to the acquisition, which are included in our reported results. In September 27, we announced a $115-million restructuring program designed to improve our U.S. supply chain cost structure. Our first quarter reported results reflect $43 million of costs associated with that restructuring program. Our remarks today for the balance of our presentation will be on an adjusted basis, including Bolthouse Farms' operating results for 12 of the 13 weeks of the quarter, but excluding the transaction costs and the restructuring charges. Since our presentation includes non-GAAP measures as defined by SEC rules, we've provided a reconciliation of the measures to the mostly -- most directly comparable GAAP measures as an appendix to the slides accompanying our presentation. These slides, along with our earnings release and selected quarterly financials, also can be found on our website and one other place. One last item. To make it easier for our iPad and iPhone users to follow Campbell, we've made available to you in the Apple App Store and Google Play Market a new app for viewing Campbell news releases, SEC filings and more on smaller screens. You need to have iTunes installed, but the cost is reasonable, 0. Just search for "Campbell IR." We'd love to get your input on your experience with it as we continue to be interested in improving the way we communicate with you. And with that, now let me turn the call over to Denise.
Denise M. Morrison: Good morning, everyone, and thanks for joining us for Campbell's first quarter earnings call. A few months ago, I marked a year as the CEO of this great company. We have committed ourselves to focus forward relentlessly on a new strategic vision that is centered on driving sustainable, profitable net sales growth. Our 3 growth strategies are focused on accelerating the momentum of our existing businesses and extending our platforms into new higher-growth segments and geographies. We are working diligently to be a more agile and innovative company that is resolutely focused on the consumer, a company that better satisfies the needs of our core baby boomer consumers and is also responsive to new consumer needs, to demographic and generational change, to the increased demand for fresh foods, to the explosion of digital and social media and to the evolving global culture of food. We know we are witnessing major shifts in the drivers of consumer choice. And at Campbell, our rallying cry is "consumer first." We recently added some wonderful new talent to our senior leadership team. Mike Senackerib was appointed Campbell's first Chief Marketing Officer. Mike will work to build our brand and product equities globally and enhance our marketing capabilities, particularly in the digital space. We also announced that Luca Mignini will be our new President of International. Luca has deep experience in Asia, Latin America and Europe and will lead the expansion of our international footprint in faster-growing categories and in faster-growing geographies. We are not yet a different company, but we are thinking very differently about Campbell's future than we did a year ago. In fiscal 2013, we told you that we expect to return to growth in our base business. The addition of Bolthouse Farms will contribute to both our top line and our bottom line growth. And we are acutely aware of the work we must do now to deliver our long-term sales and earnings targets on a sustainable basis. Before I talk about our results for the first quarter, I would like to make a few comments about Hurricane Sandy. First, to everyone on this call who was affected by the storm or whose family was affected, please know that our thoughts are with you and with all that are working to restore ravaged communities. Our world headquarters in New Jersey and Pepperidge Farm in Connecticut were closed for 2 days. Many of our employees suffered property damage and were displaced due to loss of power. Scores of residents in our local communities still have needs for food, clothing and shelter. I am very proud of the many Campbell employees who stepped up to volunteer. In addition to making financial contributions to the Red Cross, the New Jersey governor's relief fund and the special United Way Hurricane Fund, we have shipped products to numerous food banks and relief organizations. During the storm, we supported our customers with extra merchandise and hurricane pallets. Our Pepperidge Farm distributors were in stores 24/7, replenishing bread and snacks. And we did see a very small benefit in soup during the last few days of October, but it was not material to the quarter. This is not about business. It's about people. And in the aftermath of Hurricane Sandy, I saw what I have seen many times before, that the special quality of the Campbell Soup Company is its heart. Turning now to business. This morning, I'll offer my perspective on our progress as we execute our 3 growth strategies: to stabilize and profitably grow North America soup and Simple Meals, expand our international presence and grow faster in healthy beverages and baked snacks. Our new fiscal year is off to a solid start, and we're encouraged by the progress we've made on advancing our growth strategies. Our U.S. Soup and Simple Meals business delivered solid results, with sales up 3% and operating earnings up 5% as we continued to optimize execution across all of the drivers of consumer demand. In the quarter, we reduced advertising spending according to the plans we outlined at our analyst meeting in July. Our advertising spending remained at competitive levels as we continued to run our effective "It's Amazing What Soup Can Do" campaign for condensed soup and introduced new advertising for Campbell Chunky RTS Soup. That campaign returns Chunky to its NFL roots, with Victor Cruz of the New York Giants demonstrating that Chunky fills you up right. Ready-to-serve soups, condensed cooking soups and broth all performed well in the quarter. We also successfully executed our previously announced price increase on condensed soup. It's too early to judge our breakthrough innovation, particularly our Campbell's Go soups and Campbell's Skillet Sauces, but these launches are showing good retail acceptance. This is the start of strategic innovation platforms for Campbell that we will build over time. These products are outcomes of a reengineered innovation process to accelerate our speed to market. They feature contemporary packaging and offer new global tastes aimed at attracting new consumers or serving new occasions. As I've stated before, customers have been very supportive of these new products and the many innovations in our base business. We introduced more than 50 new products this year in U.S. Soup and Simple Meals, up from 3 just 3 years ago. While we continue to make important strides in U.S. Soup and Simple Meals, we are not breaking out the champagne yet. We are encouraged, but we have more work to do on this large and important business. Bolthouse Farms had a very good quarter, with growth in all 3 of its categories: beverages, salad dressings and carrots. The new beverage products introduced last spring, including Coffee Protein PLUS, Orange and Carrot and fresh nog -- yes, without the egg -- are all achieving distribution targets. As we stated, we are operating Bolthouse Farms as a separate business unit, and our integration of corporate services such as finance and legal is on track. Pepperidge Farm had positive sales in the crackers business, driven by Goldfish and new Jingos!, partly offset by declines in cookies and bakery. We did have a strong October, with solid plans going forward for the holidays. Be on the lookout for Goldfish Finn and Friends in the Macy's Thanksgiving Day Parade. Our business in Asia Pacific returned to growth this quarter, with Australia stabilizing and Indonesia posting double-digit sales gains. In Australia, a refocus on core brands and better joint business plans with our customers have helped results despite a challenging retail and consumer environment. In international, we continued to enjoy momentum in emerging markets, with sales gains in Malaysia and Mexico. Parts of our business continued to present challenges in quarter one. U.S. Beverage sales declined 5%. Despite easing inflation, we did not return to EBIT growth. We are rebalancing our consumer marketing towards the base V8 Red and V8 V-Fusion business, introducing new advertising and prioritizing our innovation on the highest-potential product platforms: energy and kids juice boxes. We do have positive momentum on V8 Splash. In North America Foodservice, our retail fresh soups grew while our traditional foodservice business did not. In addition, Europe had subpar performance, albeit in a difficult environment. Notwithstanding some challenges, overall, our quarter one results have enabled us to reaffirm our annual guidance of net sales growth, plus 10% to 12%; adjusted EBIT growth, plus 4% to 6%; and adjusted EPS growth, plus 3% to 5%. As we've stated before, we anticipate returning to positive organic growth on the base business but expect to be below our long-term targets this year. Now I'll turn it over to Craig for a discussion of our segment results.
B. Craig Owens: Thanks, Denise. Good morning, everybody. I'll spend a few minutes discussing our first quarter results and segment highlights, followed by comments on our full year sales and earnings guidance. As Jennifer referenced, my discussion results will exclude the impact of the restructuring charge, as well as transaction costs associated with the Bolthouse Farms acquisition. So for the quarter, we reported net sales of $2.3 billion, an 8% increase from the first quarter of 2012. Excluding the impact of currency and the Bolthouse Farms acquisition, organic net sales increased by 1% in the quarter. Excluding restructuring costs and acquisition transaction costs, adjusted EBIT increased 5% to $438 million. Of the adjusted EBIT increase, 3 points came from adding Bolthouse and 2 points came from growth in the base business, primarily driven by U.S. Simple Meals. Adjusted earnings per share were $0.88 this quarter, a 7% increase from the first quarter of 2012. On Slide 22, you see the Bolthouse Farms -- you see that Bolthouse Farms contributed 8 points to sales growth, while currency subtracted 1 point due to the euro weakening against the U.S. dollar. Organic sales increased 1% as pricing contributed 2 points and promotional spending subtracted 1 point. The pricing gains reflected increases on condensed soup in the U.S. and across our baking and snacking segment. The promotional spending variance was primarily related to Global Baking and Snacking. We continued to invest to remain competitive in our Arnott's and Pepperidge Farm businesses. Our adjusted gross margin percentage declined by 160 basis points to 37.9% from 39.5%. The decline was primarily attributable to the impact of the acquisition of Bolthouse Farms, which operates at a lower gross margin structure. The inflation rate in cost of goods sold was approximately 4%, which is in line with our expectation for the full year. Marketing and selling expenses decreased 3% to $254 million. Advertising and consumer promotion expense declined by 15%. The primary cause of the declines was our planned reduction in advertising and consumer promotion expenses in the U.S. Soup business, partly offset by the impact of adding Bolthouse Farms. Although U.S. Soup advertising and consumer promotion expenses declined compared with the prior year, we are maintaining competitive levels of support on the base business while investing behind our new launches. Administrative expenses for the quarter increased by $17 million due to adding Bolthouse and incurring higher compensation and benefit cost, including the expected increases in pension expense. Below the operating earning lines, net interest expense increased 18% or $5 million. The increase was due to a higher level of debt to fund the acquisition of Bolthouse, partly offset by lower rates on the debt portfolio. The adjusted tax rate declined by 60 basis points to 31.6% from 32.2% in the prior year, due to the favorable settlement of a U.S. state tax matter. With the lower tax rate offsetting increased interest expense, adjusted net earnings increased 5% this quarter. Adjusted earnings per share benefited from fewer shares outstanding and grew by 7%. First quarter segment sales and the corresponding organic growth rates are shown on the next slide. Sales of U.S. Simple Meals increased by 3%, with gains in both U.S. Soup and U.S. Sauces. U.S. Soup sales rose 2%, driven by gains in broth and ready-to-serve soup, partially offset by a decline in condensed soup. U.S. Sauce sales grew 4%, primarily driven by strong gains in Prego pasta sauce, the launch of Campbell's Skillet Sauces and the growth of Mexican -- of Pace Mexican sauce. These gains were partly offset by lower sales of gravy. Global Baking and Snacking sales increased by 1%, fueled by gains in Pepperidge Farm and Arnott's. Pepperidge Farm sales increased on the strength of another solid quarter of growth in Goldfish snack crackers and by the launch of Jingos! Pepperidge had sales declines in cookies and bakery. Sales in Arnott's increased primarily due to double-digit gains in Indonesia. Biscuit sales in Australia were comparable to the prior year. Organic sales for International Simple Meals and Beverages increased by 2%. Higher sales in the Asia Pacific region, Latin America and Canada were partially offset by declines in Europe. In Canada, higher selling prices contributed to sales growth; and in Europe, lower sales in Germany were partially offset by higher sales in France. In Asia Pacific, sales increased due to the strong growth in Japan and Malaysia. Our Bolthouse Farms and foodservice reporting segment now includes the recently acquired Bolthouse business, along with North American Foodservice, which had been recorded separately. Of the segment's $323 million in sales for the quarter, Bolthouse contributed $171 million. Organic sales, excluding the acquisition and currency impact, declined by 6%. This decrease in North American Foodservice sales was primarily due to declines in frozen and canned soup sales, partially offset by volume-driven gains in fresh chilled soups sold at retail. U.S. Beverages sales decreased by 5% in the quarter. The decrease was due to declines in V8 vegetable juice and V8 V-Fusion beverages, partially offset by an increase in V8 Splash. The decrease in V8 Fusion -- V8 V-Fusion was primarily due to declines in the existing base business, partially offset by growth in new products, including energy drinks and juice boxes. Operating earnings for Simple Meals rose by 5% to $274 million this quarter. The increase reflects earnings gains in U.S. Soup, partly offset by a decline in U.S. Sauce. Within the segment, the benefits from productivity improvements; higher selling prices, net of related volume impacts; and lower marketing expense were partly offset by cost inflation. Earnings of Global Baking and Snacking declined by 3%, reflecting lower earnings in both Arnott's and Pepperidge Farm. Both businesses were negatively impacted by increased promotional spending as we continue to invest in highly competitive markets. Within International Simple Meals and Beverages, earnings increased by 9%, largely driven by growth in Asia Pacific and Canada. Earnings in Europe declined. For the segment, the increase in operating earnings was primarily driven by organic sales gains and an increase in gross margin percentage. Operating earnings within the Bolthouse and Foodservice segment increased by 26% or $7 million. The increase included $14 million from the addition of Bolthouse Farms and a decrease in earnings from North American Foodservice. Operating earnings for U.S. Beverages were comparable to the prior year, as the impact of lower volume was offset by lower advertising and consumer promotion expense. U.S. Soup sales for the quarter increased by 2%. Consumer takeaway in the quarter was down about 1%. Ready-to-serve soups and broth sales benefited from movements in customer inventory levels, reflecting accelerated merchandising activity for the quarter. Sales of condensed soup declined by 1% as declines in eating varieties were only partly offset by gains in cooking varieties. Our pricing in response to inflation in condensed soup has not resulted in any unexpected volume pressure. RTS soup sales increased by 4%. Volume-driven gains in Campbell's Chunky canned soups were partially offset by declines in microwavable soups. Campbell's Go soups, launched this quarter, added to the sales growth. Broth sales grew 9%, primarily due to volume-driven gains in both aseptically packaged and canned broths. Slide 29 is a look at U.S. retail sales of wet soup for the last 52 weeks based on SymphonyIRI multi-outlet data. The U.S. wet soup category rose by 0.5% in the last 52 weeks. Campbell soup sales for the same period declined 2.7%. This performance compares with a gain of 8.4% for other branded players and flat results for private label. Campbell maintained a strong leadership position with a market share of 58.7% for the year. Private label players held their share, while other branded players gained share. Cash flow from operations was $81 million compared with $73 million in the prior year period. Capital expenditures of $41 million were up from $35 million a year ago. For the year, we continue to forecast capital spending of approximately $333 million, including spending at Bolthouse Farms. As we've previously announced, we suspended the strategic share repurchase program so that we can use our cash flow to reduce the debt we incurred to finance the Bolthouse acquisition. However, we continue to repurchase sufficient shares to offset dilution from equity compensation programs. Net debt rose to $4.1 billion, an increase of $1.4 billion due to the acquisition. This morning, we confirmed our fiscal 2013 guidance. I'd like to point out that as we look at the progression of the year, we believe that the second quarter profitability could be negatively impacted by the fact that we are exiting the first quarter with high soup inventories due to strong holiday sell-in; and by a planned increase in marketing support for new products, notably Campbell's Go soup and Campbell's Skillet Sauces. As a result, EPS for the second quarter is likely to lag our full year guidance growth rate. We continue to expect to grow sales for the year between 10% and 12%, with adjusted EBIT growth of 4% to 6% and adjusted EPS growth of 3% to 5%. Within these ranges, currency is expected to be neutral to slightly negative. We expect interest expense to increase approximately $30 million, primarily due to the acquisition financing, and the tax rate to be between 31% and 32%. As we mentioned, we completed the acquisition of Bolthouse Farms this quarter and financed the purchase with debt. Our guidance includes the estimated impact of the Bolthouse business and excludes the impact of onetime acquisition transaction costs and also the cost associated with our recently announced restructuring program. We expect the acquisition to contribute approximately $750 million to sales and to add $0.05 to $0.07 to our adjusted EPS, including the impact of suspending our strategic share repurchases. Thank you. And with that, I'll turn it back to Jennifer now.
Jennifer Driscoll: Thank you, Craig. At this time, we will conduct a Q&A session. We'd like to request that callers limit themselves to one question apiece, but stay on the line in case clarifications are needed. This way, we hope to respond to more callers.
Operator: [Operator Instructions] Our first question comes from Andrew Lazar with Barclays.
Andrew Lazar - Barclays Capital, Research Division: I just wanted to drill down a little bit on some of the commentary, Craig, around the inventory -- or the accelerated inventory levels. Just want to be clear, was that, I guess, part of the plan in your first quarter, obviously, to ship in a little more aggressively maybe than last year such that you're ready to go for your merchandising plans? And I guess if we were to think about the fiscal first half as opposed to just the first quarter versus the second, how should we think about your expectation for soup sales maybe on that kind of a basis?
Denise M. Morrison: Yes. I think you're hitting it right, Andrew, by focusing on the first half. The acceleration in inventory coming out of the quarter was due to our holiday sell-in for November and December. Some retailers shipped earlier this year than last year. We're encouraged, though, by the strong merchandising plans that we have, and it's also been rotated amongst different brands. So coming into the quarter, we had a higher level of inventory. We maintained that. And so coming out of the quarter, we're still at those levels. So we just wanted to manage people's expectations for the half.
B. Craig Owens: Part of it, Andrew, is just the calendar, right? We have an earlier Thanksgiving this year, and so I think retailers have just been a little bit ahead of the curve and maybe a little bit of the storm impact, too, which fell right at the end of the quarter.
Andrew Lazar - Barclays Capital, Research Division: Got it. Is your hope that, through the first half, that we'd see soup sales in positive territory? Or is it just still -- I mean, the second quarter is obviously huge from that perspective from a takeaway standpoint.
B. Craig Owens: Right. We don't forecast, as you know, soup sales separately, but we're happy with the start that we're off to.
Operator: Our next question comes from Ed Aaron with RBC Capital Markets.
Edward Aaron - RBC Capital Markets, LLC, Research Division: So I wanted to ask about the A&C spending in the quarter. I guess I didn't fully appreciate how much it might be down in Q1. Can you tell us if that was fully planned? And then as kind of a broader follow-up question to that, some food companies are starting to talk about shifting A&C spending back above the line just to kind of manage price points lower, just given the consumer environment. And I'm wondering if that's a dynamic that you're expecting on some level to happen with your business as well over the next few quarters.
Denise M. Morrison: It's true; our quarter one A&C expense declined by 15%, primarily due to reduced spending on U.S. Soup and partially offset by an increase of support for new innovations. It is in the range of the plans for the full year, and we did move some money into increased promotion, particularly in the bakery and the baked snacks business.
Operator: Our next question comes from Jason English of Goldman Sachs.
Jason English - Goldman Sachs Group Inc., Research Division: So lots of potential questions here. Let me focus on the fresh baking business, where -- which I think you said was still challenged this quarter. It's -- the industry here in the U.S. is in a state of flux, with one of your competitors having now suspended production and distribution. How do you think about that scenario and what the implications may be for your business going forward?
Denise M. Morrison: Right now, we are seeing, in the latest 2 months, some pressure, and we're getting industry reports on that. The parts of the business that are more robust are the casual dining, health care and education. But overall, we're not pleased with the performance of our foodservice business this quarter. Oh, I'm sorry. I heard you -- Jason, did you say foodservice or...
Jason English - Goldman Sachs Group Inc., Research Division: Specifically, I'm asking fresh bakery implications of Hostess.
Jennifer Driscoll: Oh, for TreeHouse?
B. Craig Owens: Hostess.
Denise M. Morrison: For Hostess. The bakery business? I'm sorry.
Jason English - Goldman Sachs Group Inc., Research Division: Yes, No worries.
Denise M. Morrison: Okay. Well, I answered another question that you might have had.
Jason English - Goldman Sachs Group Inc., Research Division: I appreciate that. It's like a 2-for-1 special.
Denise M. Morrison: Okay, there you go. We're monitoring the Hostess situation. We -- and of course, our manufacturing supply chain and distributors are standing ready to ensure that customers aren't at risk for any supply interruptions caused by this. This is a business that is continuously changing through consolidation and price discounting. And we just feel that we're well positioned to play in this, in the part of the business that we occupy right now, which is more the upper end.
Jason English - Goldman Sachs Group Inc., Research Division: Okay. And one more if I could sneak it in. Bolthouse, I know it's still young as part of your portfolio, but it's got a unique distribution platform. Denise, can you talk to us, whether it be broad strokes, or hopefully as much specificity as possible, in terms of your innovation plans and how you intend to leverage that?
Denise M. Morrison: Right now, it's early days, but we're very pleased with the performance in all 3 categories of Bolthouse. And some of that growth has been driven by new innovation, particularly in the beverage business, but also increase in distribution in the salad dressing business.
Operator: Our next question comes from David Driscoll with Citi.
David Driscoll - Citigroup Inc, Research Division: So I wanted to ask a little bit more about condensed soup, and I wasn't sure if your inventory comments were more focused on one side or the other. But on condensed soup, you had in the fourth quarter, I think it was -- the fourth quarter is -- it's always hard to interpret some of these quarters because they're not the same in terms of total volumes. But it was like a 10% or double-digit growth in volumes last quarter. And now, this quarter, sales are down 1%. I don't know the volumes, but is this what you're trying to lead us to, where the inventories are just coming in a little bit full right now going into Q2?
B. Craig Owens: Yes. So, David, we've actually seen a little bit of a rotation. You're exactly right. As we came out of the fourth quarter, our condensed inventories were a little bit higher than normal. The good news there is that we saw good sell-through on the back-to-school and other promotional activity that had created those higher inventories. And now as we've come more into the run-up to the holiday season coming out of the first quarter, the higher inventory levels are really driven more by RTS. So you've had the rotation of inventory. It's not the same inventory. It's not even around the same product line. And you've got -- consequently, you've got a little bit of a mix shift issue as we've rotated out of condensed and into RTS. But it's -- I think, overall, you can think about soup inventories continuing to be a little bit higher than normal as we come out of the quarter, but it's more RTS and broth than it is condensed.
David Driscoll - Citigroup Inc, Research Division: And one quick follow-up on some of your Bolthouse comments. Was the profit contribution in the quarter kind of below normal? I.e., was purchase accounting a factor here on the inventories? I've had a few questions from people on that this morning.
B. Craig Owens: So yes, purchase accounting, it is going to be an issue, and you're right to point the inventories on the first year will run off the write-up of the purchase accounting impact on inventory. Also, remember that we had one less week of Bolthouse in this first quarter than we did for the total company.
Operator: Our next question comes from Alexia Howard with Sanford Bernstein.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: Can I just ask you to maybe elaborate a little bit on the weakness in the beverage segment? You mentioned slackening consumer demand. I was a little surprised that, that might be kicking in now rather than maybe earlier in the economic downturn. Is it something to do with pricing versus other juices? Or can you tell us a little bit more about what's going on there?
Denise M. Morrison: Yes. The beverage category, particularly the shelf-stable juice category, has been under pressure for quite some time now. And we continue to observe behavior that consumers are trading down, particularly in the -- from the 100% juice businesses that we're in. There has been some competition that's been very price aggressive that has negatively affected our V8 vegetable juice and V8 V-Fusion; however, our V8 Splash continues to perform very well. And our new item innovations are continuing to contribute to sales growth, but they haven't been sufficient enough to overcome the category weaknesses or the aggressive price pressures. So what we're going to do about it is we're shoring up the core business with line extensions on V8 and improved taste. We're also playing in value by pushing V8 Splash, and then we're innovating in high-growth segments such as energy and kids. And we think that a combination of easing inflation and productivity improvements will help us with improved EBIT for the year. So that's how we're looking at it at this point.
Operator: Our next question comes from Matt Grainger with Morgan Stanley.
Matthew C. Grainger - Morgan Stanley, Research Division: Denise, I just wanted to try and get some insight into how you're thinking about the promotional support you're putting behind soup during the soup season. And if we look at the measured channel data for ready-to-serve, it looks like pricing is down year-on-year in ready-to-serve in recent periods, and that we -- so that's driven a fairly pronounced increase in volumes more recently. Is that consistent with what you're seeing in your business? And is this any indication of a change in the way you're thinking about the optimal balance between innovation-driven growth and promotion over the next few months?
Denise M. Morrison: Yes, we're -- again, we're optimizing all of the drivers of demand. And in addition to product and packaging, there is a merchandising factor, and we're looking at each brand, given its competitive set. So in the first quarter, we were very aggressive in promoting, particularly, our Chunky brand. As we repositioned it, we improved the label on the brand to emphasize the delicious food and the soup that eats like a meal. We went to the NFL with Victor Cruz, and so we did put some support behind that brand to get some momentum.
Matthew C. Grainger - Morgan Stanley, Research Division: Okay. And would you say that was more an issue of sort of the timing of your merchandising plans? Or is that a strategy that might persist through the second quarter?
Denise M. Morrison: Well, I think you can plan on seeing aggressive merchandising plans.
Operator: Our next question comes from David Palmer of UBS.
David Palmer - UBS Investment Bank, Research Division: Just building on that last question. In ready-to-serve, it looked like you had a good last month. The promotions were up. Select Harvest repositioned 100% Naturals. How is that working specifically? And then is it too early to tell how the new messaging around -- the low-fat, high-protein messaging and the NFL, is that gaining traction on the Chunky portfolio? Any sense there?
Denise M. Morrison: The performance of RTS this quarter really was because of brand Chunky. And the 100% Natural soup is flowing through to the shelf and has been down versus year ago. And we'll continue to put the adequate support on that business as well because it is an important business to us. It's too soon to tell on some of the new products, but some of the new products that we introduced last year like Slow Kettle, Slow Kettle's consumption and share are both up in the quarter and our new Flavor Boost product was down in the quarter. However, we are flowing through a new pack, which we shifted from an 8-pack to a 4-pack and reduced the price to $2 to increase the trial, because our repeat is very good on this product. So we did learn a lot last year from the introduction of that product.
David Palmer - UBS Investment Bank, Research Division: Is the light soup area -- is that something that you think will stabilize as the fiscal year progresses? I mean clearly, where I'm getting at is that, that portfolio has been repositioned a couple times, and I'm wondering if you're a little bit more optimistic about this go-around.
Denise M. Morrison: Yes, it's still -- I mean, it's still a smaller part of our portfolio, and we did -- we are now emphasizing the 100% Natural, and it really will be up to the consumer to decide.
Operator: Our next question comes from Chris Growe with Stifel, Nicolaus.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: I just had 2 quick questions for you. The first one, I guess for you, Denise, would be just in relation to Global Baking and Snacking, to understand the growth of the U.S. business versus the international business, I guess to understand how Arnott's in Australia is performing versus, say, Pepperidge in the U.S.
Denise M. Morrison: Well, Pepperidge in the U.S. grew, but it was growing because of the cracker business. Goldfish and Jingos! were up high single digits, and it offset some declines in our cookie business and in our bakery business. But we have seen better momentum in October and going into the holidays. In Arnott's, the situation is they're still competing in a difficult market. We've seen improvements in the business, we are continuing to gain share there, so we are feeling better about Australia this year in the biscuit business.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And just a quick follow-up, maybe for Craig. In relation to Bolthouse, is there -- I'm just trying to think about the seasonality of the business. Are there -- and to make sure I have this modeled properly going forward, there's a little more profit this quarter than I thought, is what it comes down to. Is that a function of this quarter? Is there a seasonality factor to consider, is the question.
B. Craig Owens: There's a little bit of seasonality. You didn't see it so much in this quarter because, again, we had one less week in the quarter than we do in the full year. The seasonality comes from the carrot business being a little bit heavier in the second quarter. That's partially offset by the fact that beverages are a little bit stronger in the summer. So the business overall is less seasonal than Campbell's business, so it won't have a material impact on the total company seasonality.
Operator: Our next question comes from Eric Katzman of Deutsche Bank.
Eric R. Katzman - Deutsche Bank AG, Research Division: I guess 2 questions. One is I was kind of surprised -- and I guess we touched on it a little bit, but I'm kind of surprised that the margins in U.S. Simple Meals were slightly over 30%. I don't remember the last time the margins were that high in the segment, although I guess it's changed a little bit over time. But is -- like, obviously, the lower advertising versus the higher inventory, I guess, is partly explaining it. But I'm kind of wondering if you could go into a little bit more detail. Is there the timing of inflation versus the restructuring action you took? I just -- I'm trying to get a better sense to what's making those margins so high this quarter.
B. Craig Owens: So the restructuring action wouldn't have any impact in the quarter. I think the primary thing that you're probably seeing versus prior quarter is the reduced advertising and consumer promotional expense, Eric.
Anthony P. DiSilvestro: Yes, I would just add, there's a pretty significant seasonality to the profitability of the Simple Meals segment. It ranges from 30 to as low as 20 in the other quarters.
B. Craig Owens: So this is not typical...
Eric R. Katzman - Deutsche Bank AG, Research Division: Even year-over-year, but, I mean, it's been a while since we've hit over 30 in that segment.
B. Craig Owens: It looks like it's only up about 1 point from the prior year.
Eric R. Katzman - Deutsche Bank AG, Research Division: Yes. Okay. And then I guess, on the Go soup product, Denise, are you sensing any push back on the price point? Because, I guess, we've seen some commentary that, that might be a price point that's a little difficult for Millennials at the moment. Is there any initial sense of that at the trade level?
Denise M. Morrison: No, we have not gotten any feedback on that, and we recognize that the price is more premium than some of our other offerings. But so far -- again, it's early days. The repeat on this item is pretty robust. So it's all about getting consumer trial over the next several quarters, but we haven't heard any push back on pricing.
B. Craig Owens: Most of the ACB [ph] is now at $2.99, which we feel is a pretty good price point for that product.
Operator: Our next question comes from Jonathan Feeney with Janney Montgomery Scott.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: So I guess I wanted to just think about -- I mean, on the advertising, the total A&C spending, particularly behind soup, I guess I'm -- can you give us a sort of long-term target where you think that ought to work out for a business of this margin structure?
Denise M. Morrison: We -- our long-term target and our short-term target right now is to be fully competitive, and we're basing that on a variety of benchmarks, such as a percent of sales and share of voice, to name 2. We think that it's really important for these brands to think about all of the drivers of demand and make sure that we are putting our spending where we're going to get the maximum impact, and that could vary by brand and even by segment. So I cited the Chunky example earlier and that seems to be working.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: Okay. If I could just follow up, Denise, the -- then -- yes, I guess competitive is -- when you say competitive, I guess, are you thinking inside the soup category? Because I mean, I guess one of the -- how are you framing that, because when I look at -- it seems to me a lot of the potential -- the slowdown -- a potential explanation for the slowdown of the soup category, period, is that its leader hasn't spent enough on advertising the past 3 or 4 years, and so you might be keeping up with the competition but the category as a whole maybe has suffered. And I think the innovation helps, but are you -- when you say competitive, are you talking about competitive within soup or competitive broadly with spending rates in other categories as you see them?
Denise M. Morrison: Well, in the case of soup, we look at both within soup and also within the broader context of the 30-plus categories that we track in Simple Meals. And quite frankly, in the U.S. Soup business, we did lower our advertising. But in our other businesses, our advertising either stayed the same or increased.
Operator: Our next question comes from Bryan Spillane with Bank of America Merrill Lynch.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: Denise, just now that you're 5 quarters into this, and with all of the effort that's been put into Simple Meals and soup in particular, do you have a sense at this point whether you've changed -- there's been any change or been able to kind of move the change in consumer habits at home? I think as we kind of went into this over a year ago, it's one thing to be able to sort of merchandise and get people to pull it off the shelf, but the more important thing is to really get people to actually consume the products at home. And I understand it's a little bit early, especially with all the new products that have come out. But how do you feel about movement that you've made or progress that you've made in that regard in terms of just getting people to actually go home and use the products?
Denise M. Morrison: Well, I think it's early days on the new products to declare victory there. I do think that the new products are helping to create somewhat of a buzz about soup in general, which is important, because people don't think about it as often as they should, and so that reminding them is important. But I think we've done a good job in terms of executing at Campbell's to put some new experiences out to the market for the consumer to enjoy and, particularly, younger consumers to attract them into the category. We're going to continue to build on those platforms. This is not going to be a 1-year wonder. So I think these are still early days, but I really do believe we're on the right course here.
Operator: Our next question comes from Ken Goldman with JPMorgan.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Can you talk a little bit about the signal that you're sending perhaps to retailers by perhaps cutting marketing spending on your core soups a little bit? And the reason I'm asking is there has been some conversation lately about perhaps some of your larger retailers reconsidering whether it's a great use of space to use gravity feed shelves or not. And I'm just wondering, when I talk to retailers and they think about soup, whether the manufacturers are really committed to the can, whether that's something that they should be committed to as well. So can you just talk a little bit about the balance between how you think about that and maybe spending more on marketing to allay their fears or continue to drive down the spending to help your margins a bit?
Denise M. Morrison: Yes, I can. First of all, in terms of the shelving, we actually have iQ Maximizers in greater than 25,000 stores. And that seems to be servicing the consumer very well in terms of making it easier to shop, and from an operations standpoint, it's holding up to the retailers' standards. So I'm not sure what the link is for shelf space that you're talking about, but we have not seen an impact on shelf space at this point. In fact, with the new products that we're introducing, we're having conversations to make sure that we are accommodating all of our products on the shelf and continuing to bring the retailers new and exciting things to increase their center store sales. The second part of your question, on cutting marketing, we had increases in advertising and consumer in all of our categories with the exception of soup, and we have not cut our total marketing. We had expenses in advertising and consumer decline, but we are spending against these products in a very competitive way. And we were -- we're explaining that to retailers and we're getting support.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: And then one quick follow-up on David Driscoll's question about Bolthouse and Foodservice margins. Should we expect a similar decline year-on-year in that segment's margin going forward then?
B. Craig Owens: Yes. So Bolthouse operates structurally at a significantly lower margin rate than the rest of the company. I think the first quarter margin structure is probably pretty reflective of the full year for that segment now, right?
Kenneth Goldman - JP Morgan Chase & Co, Research Division: So somewhere around 10.5% is not unreasonable.
B. Craig Owens: Yes, I think that's probably about right.
Operator: Our next question comes from Thilo Wrede with Jefferies.
Thilo Wrede - Jefferies & Company, Inc., Research Division: When I look at your -- at the breakdown of the soup sales, so it's condensed down, but ready-to-serve being up 4%, and I compare that with scanner data, scanner data looks much different, I think, in -- at least in ready-to-serve. Why would I not think that this difference between scanner data and the data that you showed today is just driven by the channel fill and the sell-through -- channel fill within your products and the sell-through just isn't there yet?
B. Craig Owens: Well -- so, Thilo, I think we did say that we're exiting the quarter with higher inventories, and that there has been some rotation in those inventories toward ready-to-serve. So I mean, I think you're right. We saw heavier sales of both broth and ready-to-serve in the quarter than we saw consumption, and it's largely associated with selling in ahead of the holiday and merchandising activity that's scheduled out over the first few weeks of November here. So I think your reading is approximately right.
Thilo Wrede - Jefferies & Company, Inc., Research Division: But is it selling across the entire portfolio on ready-to-serve? Or is it focused on the new product?
B. Craig Owens: Well, clearly, you've got some pipeline fill on the new product, but it's not just new product. In fact, it's probably heaviest in broth, which as you can imagine is a big holiday item. So it's broth, it's ready-to-serve and it's the new products.
Denise M. Morrison: Right. And we've also had new innovations on our base business too.
Operator: Our next question comes from Rob Moscow with Credit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: I just was looking at the U.S. Beverages segment, and it looks like sales will end up being flat pretty much to where they were in 2010. So there really hasn't been any growth in this segment and profits are way down. Can you give us a sense within that mix? I understand the strategy is to extend into more single-serve items and maybe away from core V8 Red. Can you give us a sense of what's happened to like the core V8 Red during this time, whether new products are now a bigger part of the pie? And then secondly, I thought I heard that there might have to be a wait out on V8 Red during the course of this year to compensate for higher commodity costs. And are you concerned that this would hurt volume further on the core business?
Denise M. Morrison: No, I am not -- I don't know where you heard that there'll be a wait out on V8 Red. Right now, our plan on V8 Red, and we do believe that we need to call more attention to it, is to improve the taste on the original V8 Red, to celebrate the taste in our advertising, and we have Hint of Lime and Black Pepper flavor extensions to create some news for that 100% juice offering. And we are refocusing on our base 100% juice while we also push V8 Splash, which has done very well. But the entire category has been pretty soft for a number of quarters now.
Robert Moskow - Crédit Suisse AG, Research Division: Denise, do you mean the entire vegetable juice-based category? Or do you mean...
Denise M. Morrison: No, no, no. No, the entire shelf-stable juice category, particularly in the 100% juice segment.
Robert Moskow - Crédit Suisse AG, Research Division: Okay. What about noncarbonated beverages in general? Like I always thought that, that was a faster growing segment of overall beverages. Do you look at yourself in that context also?
Denise M. Morrison: We do, and that's where we have the insights around new innovation. For example, the energy and the kids segments are growing faster.
Operator: Our next question comes from Diane Geissler with Credit Agricole Securities.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: I may have missed this, but did you quantify the value of the buy-in ahead of the early holiday?
Denise M. Morrison: No, you didn't miss it.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Okay. Well, I know Andrew had asked about sort of first half over first half, and you have guided down the second quarter, so any color that you can give us to give us an idea about what the magnitude was?
B. Craig Owens: The only thing...
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Was it an extra week of inventory, 2 weeks of inventory? Was it all across your entire product line?
B. Craig Owens: Yes, I think the best way to think about it is to look at consumption versus sales, right, Diane? So consumption was down 1%; sales were up. Without forecasting the soup sales, or particularly without forecasting them by quarter, I think that's the best way to sort of keep tabs on where we are in sell-in versus consumption.
Denise M. Morrison: And the sell-in against the holiday season, of course, the consumption happens in another quarter. So the good news is that we're getting good merchandising support, but I do think you have to look at it on a season basis.
Operator: Our next question comes from Akshay Jagdale with KeyBanc.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: My first question is just regarding the U.S. consumer overall. You have a pretty big footprint in the center of the store, and some other companies recently have said they've seen the consumer shift back into the center of the store a little bit more recently. Have you seen that? I mean, are you seeing consumption sort of increase for food categories in the center of the store?
Denise M. Morrison: We track the Simple Meals category. In over 52 weeks, the consumption's been up over 2%, and in the last 13, it's been a little bit over 1%, so it's still trailing 52 weeks.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay, that's helpful. And then just on marketing. You made a -- you hired somebody to lead your marketing division. I was just wanting to get your perspective on what this particular person adds that you didn't have per se before in your organization, and how sort of links to the future sort of demand trends that you see longer term.
Denise M. Morrison: We have a center of excellence that works on our advertising and design, our marketing excellence, which is training for our people to make sure we're building skills. Obviously, with the transition of connecting with consumers through the digital space, that's going to require some real focus and expertise, and then being a support system for the brand management in the business unit so that there is a continuing to build on the standards of excellence for driving a growth agenda. So we believe he'll be a really good addition in terms of focusing us there. Okay. So I guess we're coming up on the hour. I apologize to any of you that we didn't get to, but we're going to move to our wrap-up. So in conclusion, we'd like to leave you with some key points from today's call. Our new fiscal year is off to a solid start, and Campbell is becoming more agile, more innovative and more focused on the consumer. We've recruited some wonderful new talent in marketing and in international. We've posted encouraging gains in U.S. Soup and Simple Meals as we continue to optimize all the drivers of consumer demands across our key brands. And while it's too early to judge our breakthrough innovations, we firmly believe that our reengineered innovation process enhances our ability to attract new consumers and serve new occasions. Our first quarter with Bolthouse Farms was strong and the integration is on track. Challenges do remain in our U.S. Beverage business, but we are course correcting and expect more of a recovery in the coming quarters. Overall, we're able to reiterate our annual guidance for the year of sales growth of 10% to 12%; adjusted EBIT, growth 4% to 6%; and adjusted EPS growth of 3% to 5%. But I want to make sure that my message to you is clear, we are encouraged but not satisfied. We know what we have to do and what our opportunities are, and we're clearly making progress but we're not there yet. Hurricane Sandy reminded us that we have a lot to be thankful for here at Campbell. Among many other things, we're thankful to have leading brands to compete with; strong margins; amazing cash flow; and above all, talented and dedicated employees with a lot of heart. So we wish you and yours a very Happy Thanksgiving. And with that, Jennifer, please provide the closing reminders.
Jennifer Driscoll: Thank you very much. We appreciate you listening to the call today. We will have replays available. And if we didn't get to you, please give me a call at (856) 342-6081. And with that, we'll conclude our call.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the conference. You may now disconnect. Good day.